Operator: Good day, ladies and gentlemen, and welcome to the fourth quarter 2009 Simon Property Group earnings conference call. My name is [Marisol]. I’ll be your operator for today. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Miss Shelly Doran, Vice President of Investor Relations. Please proceed.
Shelly Doran: Welcome to Simon Property Group’s fourth quarter and year end 2009 earnings conference call. Please be aware that statements made during this call that are not historical may be deemed forward-looking statements. Actual results may differ materially from those indicated by forward-looking statements due to a variety of risks and uncertainties. Please refer to our filings with the SEC for a detailed discussion of these terms. Acknowledging the fact that this call may be webcast for some time to come, we believe it’s important to note that today’s call includes time sensitive information that may be accurate only as of today’s date, February 5, 2010. The company’s supplemental information package was filed earlier today as Form 8-K. The filing is available via mail or email and it is posted on the Simon website in the Investors section under Financial Information, Quarterly Supplemental Packages. Participating in today’s call will be David Simon, Chairman and Chief Executive Officer; Rick Sokolov, President and Chief Operating Officer; and Steve Sterrett, Chief Financial Officer. I will now turn the call over to Mr. Simon.
David E. Simon: Thank you. Good morning. Thanks everyone for joining. I’d like to take a few minutes just to review financial and operational highlights and then we’ll open it up for Q&A. First on FFO for the quarter, we reported as adjusted $1.66 for the quarter ended December 31, 2009, which is $0.13 above the first call consensus estimate. We’re very pleased with our fourth quarter results and our full year results delivered during very uncertain times. We are seeing some positive trends in retail conditions and believe that the environment should continue to experience a slow and gradual improvement. Holiday sales met or exceeded the expectations of most of our retailers and coupled with good expense control and inventory management, I would expect fourth quarter earnings for the retailers to be quite good, and yesterday’s January retail sales support that premise. Occupancy in all of our platforms was sequentially up from the end of the third quarter. Mall occupancy up 70 basis points, Outlet centers increased 40 basis points, The Mills increased 150 basis points and our Community Lifestyle centers increased 180 basis points. Regional mall comparable sales were $433 per square foot at year end as compared to $470 year end 2008. For the fourth quarter the decline in year-over-year was 2.7%. For the month of December the declined narrowed to 1.8%. Florida experienced an improving trend with sales were flat in December while we continue to see softer sales in California, Nevada and Massachusetts, which was a little worse than the rest of our portfolio in the country. Now, the Outlet business had comp sales improved during the fourth quarter with portfolio sales increasing from $492 a foot at 9/30 to $500 a foot at year end. Sales were up 6% year-over-year in Q4. Regional mall releasing spreads was year end $4.18 or an increase of 10.3%. Average base rent at year end was $40.04, which was up 1.4% for the year earlier period. The average base rent for the regional mall leases expiring in 2010 is $37.64 per square foot, which is lower than the rent of the stores that closed or leases expired in 2009 of $40.47 per square foot. In the last half of 2009 we signed new leases at an average rate of $43 per square foot, which again reinforces our premise that we still continue to believe that our leases rolling over or expiring are below market rent. The Outlet releasing spread was $8.82 per square foot or an increase of 29.8% for 2009. The average base rent at year end was $33.45 per square foot, up 21% for the year earlier period. Full year comp NOI growth was three-tenths of 1% for the Malls and 5.6% for the Outlets. During the fourth quarter, the company recorded a non-cash impairment charge of $0.26 per share. These charges totaled $88.1 million related to adjustments in the carrying value of one wholly owned and one joint venture regional mall, a write-down of five land parcels and two non-retail real estate assets, and the write-off of certain predevelopment costs related to approximately 25 projects. Our land held for development on the balance sheet is now $90 million, comprised of 12 parcels and 688 acres, which is roughly $130,000 an acre. FFO after this impairment was $1.40 for the quarter. I’d like to now turn my attention to other matters. Dividends, first of all I’d like to thank our stockholders for their support in 2009 when we made the difficult but we feel appropriate decision to pay a significant portion of our dividend in stock in the face of a massive, national credit crisis. If you held onto your stock for the year and sold it at year end, your dividend for that year, 2009, was $4.23, which thankfully was much higher than any previous dividend we’ve paid since being public. We’re also very pleased today that we announced the return to the payment of our dividend in cash and that for the quarter is $0.60 per share. On the acquisition front, on December 8 we announced our planned acquisition of prime Outlets in a transaction valued at $2.325 billion, including the assumption of prime Outlets existing indebtedness and preferred stock. And we expect this transaction to close in the spring. And let me turn over to some of our sales activity. As was announced in today’s release, SPG and Ivanhoe Cambridge entered into a definitive agreement to sell our interest in Simon Ivanhoe to Unibail-Rodamco. Simon Ivanhoe owns a portfolio of two assets in Poland and five in France. The portfolio is valued at 715 million euros and the transaction is subject to customary post closing adjustments. We expect to record a gain of approximately $300 million and the transaction is scheduled to close during the first half of 2010. Keep in mind that in 2000 we recorded gains of approximately $125 million related to this venture, primarily as a result of the sale of five assets in Poland, so after the sale to Unibail closes this European venture, one of two, which we continue to have our interest in GCI, will have generated approximately $425 million of gains for us. We also agreed to a venture with Unibail and Ivanhoe Cambridge in the development of five potential new retail projects in the Simon Ivanhoe pipeline. We will own 25% interest in these projects. We’re pleased to have the opportunity to partner with Unibail-Rodamco and continue our venture relationship with Ivanhoe Cambridge in these five new development opportunities in France. We view this as an excellent opportunity to recycle capital, capitalize on the relatively high valuation of the euro and sell our interest in a tax efficient manner. At year end we also sold our joint venture interest in the development and operations of our shopping centers in China. The interests were sold to affiliates of our Chinese partner for approximately $29 million, resulting in a loss of approximately $20 million. We built a good product there but the middle class consumer is just beginning to spend discretionary income. It will take a long time for them to fully emerge to shop and spend at moderate to better stores. Remaining in these joint ventures in China would have required additional SPG time and resources, as well as the need to fund operating losses. We believe that we have better opportunities to deploy that capital elsewhere. During the fourth quarter of ’09 we also sold four non-core assets, one Mall and three Community centers. Notwithstanding the significant amount of work we did in the spring of 2009, we were not content to sit on our capital. And so we were very active in the fourth quarter and again in 2010 on the capital markets front. In December we entered into a new unsecured corporate credit facility to replace our existing facility that would have matured in January of 2011. The initial borrowing capacity is $3.565 billion and represents an increase of the $3.5 billion facility that was expiring. And this new facility contains an accordion feature allowing the borrowing capacity to increase to as much as $4 billion and will now mature on March 31, 2013. The base interest rate on the new facility is LIBOR plus 210 basis points. In January of this year, we also commenced a tender offer to purchase for cash outstanding notes in 2011 and ’12 and the first quarter of 2013. Total amounts of bonds eligible was $3.25 billion and 70% of those bonds were tendered totaling $2.285 billion. The notes tendered had a weighted average duration of two years and a weighted average coupon of 5.76%. A $166 million charge to earnings was recorded as a result of the tendering and purchasing of those securities. Concurrently we sold $2.25 billion of senior unsecured notes, our largest notes offering ever. The offering received exceptionally strong interest with the book total orders totaling $10 billion. We were also able to introduce 30 year bonds into our capital structure. The weighted average duration of the notes offering is 14.4 years and the weighted average coupon is 5.69%. As a result of these activities, our credit facility size has increased and the maturity extended until March, 2013. And we significantly extended the duration of our senior unsecured notes portfolio with no overall increase in our weighted average interest rate. While we had one of the industry’s strongest balance sheets, we believe these transactions were prudent given the volatility that continues to exist in the world’s capital markets. As of year end December 31, 2009, we had $4.3 billion of cash on hand, which includes our share of our joint venture cash or roughly $12 per share and the availability of our corporate credit facility of $3.1 billion for a total liquidity position of $7.4 billion. Now let me turn over to guidance. Today we provided 2010 guidance as adjusted, $5.72 to $5.87 per share. Taking into account the $166 million charge recorded in connection with our January bond tender offer, we expect FFO for 2010 to be $5.25 to $5.40 per share. We have outlined some of the major assumptions in our press release. The guidance assumes both the prime acquisition and the Simon Ivanhoe sale to occur as expected. Let me conclude by saying 2009 was memorable in many respects, very difficult and challenging. However, we accomplished a great deal. We were very pleased to return a total stockholder of 58% in 2009, significantly outperforming the RMS and the S&P 500. We have now outperformed the S&P 500 index and the RMS index in nine of the last ten years. We had solid financial and operational performance throughout the year. We successfully executed several major capital market activities throughout ’10 and year-to-date in 2010, strengthening our already strong balance sheet. We are growing again with the acquisition of prime. We are paying our dividend in cash and we believe we’re positioned to deliver solid operating results in 2010. With that, operator, we’re ready for your questions.
Operator: (Operator Instructions) Your first question comes from Christy McElroy – UBS.
Christy McElroy - UBS: Wondering if you could give us a sense for the conversations leading up to and the thought process behind the sale of the Simon Ivanhoe assets. Is there a change in strategy at all with regard to your European platform and are you looking to sell any other assets there?
David E. Simon: Well, it’s not overly complicated. We’ve created a lot of value there. We got an unsolicited offer and we took that to the next level. We felt comfortable with the value that we’re achieving in the sale. When we looked at the growth opportunities of the assets that we were selling, compare them to the opportunities that we can redeploy that capital, taking into account that we can achieve the sale tax free in a sense. And where the euro is we thought it was in the best interest of our shareholders.
Christy McElroy – UBS: What was the IRR of that venture over the life of it, including the assets that you sold previously?
David E. Simon: It would have been near 30%.
Christy McElroy – UBS: Just trying to estimate your share of the proceeds, net of the property level. I came with about $200 million. Is that close?
David E. Simon: It’ll be exactly where the gain is, more or less. We have basically no basis in this venture.
Ross Nussbaum – UBS: Two questions for you. One is, it looks like after the end of the year you paid off the loans on Mall of Georgia and University Park. What’s going to be the approach on the $0.5 billion loans that you’ve got coming due this year at Forum Shops and the Westchester?
David E. Simon: We will be paying off the Forum Shops. Westchester’s a JV so we’ll be refinancing that.
Ross Nussbaum – UBS: I guess I’m asking it in the broader context of your cash balance and your line availability. In the sense that if for some reason you don’t land what I’ll call a big fish this year, what do you start thinking about from a sense of all this call and line availability? Do you start saying to yourself do I start buying back my stock at mid-7 caps? Do I raise the dividends since my FFO payouts only 50% now? How do you think about it strategically?
David E. Simon: Well, you know, look, the fact is we think there’ll be investment opportunities. We have a lot of optionality with that cash. We’ll be prudent in exploring the options that exist out there. Rest assured that cash certainly will not put us in the position where we will be reckless in how we treat it. And I hope you would agree that we have been extremely thoughtful and conservative in how we’ve managed the business through our M&A and sales activities, and we’ll continue to do that. And I think there’ll be significant opportunities over the years for this company, but to the extent that those don’t come to fruition for whatever reason we’ll de-lever, and I think that will obviously give us a unique opportunity to also return cash to the shareholders, whether that’s better in the form of a buyback or dividend, you know, there’s lots of views on that, but we’ll have to take it a step at a time.
Operator: Your next question comes from Quentin Velleley – Citigroup.
Quentin Velleley - Citigroup: Just in terms of your I would say strategy and I saw yesterday that Liberty International has decided to split their business in two. How does that move impact firstly your ownership of that company? But also what your strategy might be longer term and whether or not the UK is still a market that you’re interested in.
David E. Simon: Well, it still is or otherwise we would have sold the stock. So you know we maintain our interest. That news hit last night so we’re just now assessing that. I think for us it’s a positive move because it narrows the focus, so we think it’s probably there’s industry logic to what the group there is doing. But it still needs a little bit further analysis. I think if we were disenfranchised we would have sold our stock by now. We’re not afraid to sell assets. At this point we’ll continue to monitor and see what happens there. But overall the initial reaction is that it could be a positive benefit for the shareholders at Liberty.
Quentin Velleley – Citigroup: Is a global Mall business something that you would like to be longer term or is there still more opportunity here in the U.S.?
David E. Simon: My longer term goal is to make money. It sounds silly but the fact is we’re pleased with what happened in Simon Ivanhoe, that we got what we thought was a good offer and we took advantage of it. We’re still involved in assets there. We still have our interest in our joint venture in Italy. But the fact of the matter is, we like to recycle capital and we like to make money. Our greatest franchise here is in the U.S. and obviously that’s important to maintain and be able to grow that. And that continues to be our number one priority. China, when we went into it, it was an R&D experience. We’ve learned a lot. We would not rule out doing additional developments in China. It’s just that the product that we built is not the product that we want to own long-term. And we’re still very strong in Asia through the Outlet business. We actually are very close to one if not two new developments there, so I think our strategy will continue to take advantage of the ability to recycle capital and build on the successful platforms that we have out there.
Michael Bilerman - Citigroup: Just going back to Liberty for a second, would that in terms of separating the group and I guess disparate parts that didn’t fit together, as in your overtures and your discussions with the company and building your stake, was that something that you were pushing in terms of hey, we’re willing to take the true shopping center, regional mall portfolio, but all this London development and other stuff doesn’t fit us? And that sort of got them down the road of saying well, why don’t we split the company in two, that this effectively almost makes it easier for you to take the piece that you want?
David E. Simon: Well, look, you can draw that conclusion. It’s not really appropriate for me to comment on that. But I mean certainly what you’re saying is a logical conclusion, but it’s your conclusion. But it certainly, if it happens and the shareholders approve it, certainly a smaller company, it’s certainly more focused and it’s more up what we do as opposed to anything else. But beyond that, there’s not much I can add to it.
Quentin Velleley – Citigroup: In terms of the guidance number for next year, the 1 to 1.5% times NOI growth, this year you saw the Outlets contributing to most of the 1.5% you got. Is that what you’re expecting next year? Are you sort of expecting the outlets to be 5 or 6% and the malls to be flat to 1% on a same store NOI basis?
Stephen E. Sterrett: You can see, because we lay out for you, the relative contribution of each of the different segments of the business. You know you can see that the Mall business is about 3.5x the size of the Outlet business. I think one of the things that we would like for you guys to start thinking about a little more is us as a retail real estate business. But if you do the calculation in 2009, you’ll see that the blended comparable property NOI is relatively consistent with where we, the guidance for ’10 is relatively consistent with where we ended for ‘9, so I think you can draw your conclusions from that.
Operator: Your next question comes from David Wigginton - Macquarie Research Equities.
David Wigginton - Macquarie Research Equities: Can you guys maybe talk a little bit about your initial plans for any of the planned portfolio? I recognize it hasn’t closed yet but I mean do you have any immediate redevelopment plans in place? Are you going to be re-renting any of the Centers or are you looking to hold onto all of the Centers?
David E. Simon: The answer is we really don’t have any significant changes in mind. And we’re still working through some of that. With the transaction we do get two development opportunities that we feel in the long run will be something that we’ll work hard to pursue. But I don’t think there’s going to be a dramatic shift in composition of the portfolio or the operation of the portfolio. Prime has done a very good job of running the business and we’ll look to continue their successful efforts in the past.
David Wigginton - Macquarie Research Equities: So I guess from your comments, is that essentially saying that there’s limited value you feel you can add to the portfolio at this point? Or am I misinterpreting your comments?
David E. Simon: I would just say that I think that, without commenting on it specifically, I would suggest that any transaction we’ve done, we’ve been able to add value. I would certainly hope that that would be the case here.
David Wigginton - Macquarie Research Equities: Just with respect to more of a broader question, what is sort of the mindset of most of the retailers that you talk to at this point on your portfolio with respect to their existing footprints and what their plans are? Whether to shrink those or to grow them at this point?
Richard S. Sokolov: The environment is clearly stronger than it was this time last year. David had commented that the sales results for December and January were great. In fact, in the last two days about eight of our retailers substantially raised their guidance and they are much more focused on growing their footprint. And we are substantially engaged in trying to get our fair share of their open to buys that are being created. 
David Wigginton - Macquarie Research Equities: I recognize it’s still early so if you had to venture a guess would you say their net openers of stores or will the openings offset the closings? How do you foresee that playing out?
David E. Simon: Well I think the big unknown is if there’s unforeseen bankruptcies. 2010 so far, knock on wood, has resulted in very few bankruptcies or immaterial ones. That’s the big unknown. But I think we’re looking to in our plan for ’10, I mean occupancy is generally flat, maybe a little bit of an upward tick by year end. And obviously the big unknown is there a bankruptcy out there that’s going to result in store closings beyond what we’ve kind of budgeted? But I would, assuming we’re still in this kind of environment, I would look to kind of a generally occupancy to be relatively flat from where we were in ‘9.
David Wigginton - Macquarie Research Equities: And that’s for both the Mall and the Outlet center portfolios?
David E. Simon: Correct.
Operator: Your next question comes from Alexander Goldfarb - Sandler O'Neill & Partners L.P.
Alexander Goldfarb - Sandler O'Neill & Partners L.P.: I just wanted to go back to your gross as you view growing the company. How does your [weighting] in the various REIT indices factor into your growth strategy?
David E. Simon: It doesn’t. That’s not up to us to decide. We’re just focused on growing our business.
Alexander Goldfarb - Sandler O'Neill & Partners L.P.: On the debt side, are you still focused on the size of your maturities or are you feeling comfortable that both the secured and the unsecured markets are once again acting normal so that you can just view having normal laddered maturities?
David E. Simon: Well, yes, I think that’s right. Certainly the unsecured market is strong, really strong. And look, Kraft, you saw [Burt] Kraft sold, what, 9 billion? Bircher Hathaway sold 8 billion. So it’s great to be in that market with those kind of obviously highest quality companies that you can see in America. So our fact is our orders were for 10 billion. We could have gone up. We didn’t see a need to do that. So we’re feeling very good about our position in the unsecured market. The secured market is not quite there in terms of where it would be good in terms of real estate. That has less of an impact on us because obviously we can pay off secured debt and use our cash and/or go back to the unsecured market if we continue to un-encumber assets. But it’s getting better and it’s obviously dramatically improved from where we were compared to the first half of ’09. But it’s obviously not as strong as the unsecured market.
Alexander Goldfarb - Sandler O'Neill & Partners L.P.: Just going to Ivanhoe, what is the reinvestment, the cap rate on the sale versus your anticipated yield on the development? What are the numbers?
David E. Simon: Well, we are not going to disclose a cap rate. All I can tell you is that we over the life of this investment, we’ve had $425 million of gain and we’ve been able to repatriate that money back to the good old USA, tax free.
Alexander Goldfarb - Sandler O'Neill & Partners L.P.: Don’t say that too loudly.
David E. Simon: That’s what I’m worried about. I think we’re under the radar in terms of any administrative changes, I hope.
Stephen E. Sterrett: How about in a tax efficient manner?
Alexander Goldfarb - Sandler O'Neill & Partners L.P.: That sounds much better. Thanks.
Operator: Your next question comes from Carol Kemple - Hilliard Lyons.
Carol Kemple - Hilliard Lyons: At this point do you believe there’s more opportunities in the U.S. as far as acquisitions or developments? And which would you look to do in the future?
David E. Simon: Clearly acquisitions. I think as we’ve said for some time, and the development business in the U.S. is really non-existent. There’s maybe a few assets here and there that might start in ’10 or ’11 but it’s going to be few and far between. And one of the things that I’m proud of in this company, given the size, let’s say we have $50 billion of assets roughly, our land held for development is $90 million. And that’s not just in one project. That’s in 12 parcels. So I think the new development here is going to be very challenged. I do think redevelopment, assuming we continue on the recovery of the U.S. economy, I think redevelopment is starting to percolate a little bit more. We’ve done a lot more anchor redeployments, box activity, you saw it in The Mills, you’ve seen it in the Malls in terms of that. So that’s getting a little bit better, a little bit quicker. And obviously you saw our acquisition activity with Prime. So we think there will be opportunities like that that will surface.
Operator: Your next question comes from Jay Haberman - Goldman Sachs.
Jay Haberman - Goldman Sachs: You know, David, given the recent compression in cap rates, I mean does this change at all your appetite for doing any transaction activity? I mean Prime clearly was an attractive level but has your view changed at all of late, given the compression in cap rates?
David E. Simon: Well, I think, look, we are always going to try to buy at the appropriate value. And if we think the fact that the real estate is too expensive we’re going to pass. So I think that the opportunity to really steal something is probably not here right now. But there probably is going to be opportunities where we can buy something at a decent price and be able to make money through our ability to run it a little bit better. But at the end of the day, if the real estate gets too pricey, yes, I mean we’re going to keep our capital powder dry. I don’t know that we’ve gotten to that point, but I think the opportunity to really steal things at this point is probably not in the cards yet. But you know the world is, I don’t know how you feel but I still think we’re sitting in an uncertain world. And I think that’s best demonstrated by what we did in the last couple of months. I mean we extended our line, we didn’t have to. We tendered for bonds and sold bonds to the extent of our duration. We didn’t have to. We sold an asset because we thought it was a good price to recycle capital. We didn’t have to. So we’re still making prudent decisions every day because you know what? I don’t know about you, but I think we learned a lot in ’08 and ’09, even though we were as well positioned to handle any kind of crisis, I still think we learned a lot about it.
Jay Haberman - Goldman Sachs: And maybe for Steve, in terms of the guidance can you give us some sense of percentage rents, what you’re anticipating? Is that roughly flat year-over-year? And I guess any provisions for credit losses? Are you assuming bankruptcies are fairly benign in 2010?
Stephen E. Sterrett: Well, Jay, I mean one there’s a lot of stuff that goes into kind of a single number which isn’t in a [line]. But yes, I think it’s fair to say, David mentioned in his remarks that we’re seeing some improvement, you know, in the retail environment. That gradual improvement is reflected in both our thoughts about percentage rents and our thoughts about bad debt expense.
Jay Haberman - Goldman Sachs: In terms of same store NOI, can you break out Mills? Do we have a sense of how that’s performing versus the rest of your Mall portfolio?
David E. Simon: You know The Mills are doing pretty good. I don’t have that number in front of us, but we had a little bit of a setback in ’09 because we lost a lot of the boxes like a Circuit City and Linens at the end of ’08 that we’ve had a good opportunity to lease that. So I think we have growth in ’10. 
Stephen E. Sterrett: The growth in The Mills portfolio that we’re assuming for ’10 is consistent with the range that we gave you for the overall NOI growth of the enterprise.
Operator: Your next question comes from Jeffrey Donnelly - Wells Fargo Securities, LLC.
Jeffrey Donnelly - Wells Fargo Securities, LLC: Rick, maybe I’ll start here, is I wanted to take your temperature on the demand for space because we all hear stories about openings out there, so they’re good news stories. But I wanted to get a better sense on I guess I’ll say the overall mix. I don’t know if this is the best way to do it, but say last year, you know, 70% of retailers were contemplating contraction, 20% were on the fence and 10% were thinking about expanding store count. I guess how would you characterize those figures? I mean what would your sense be on where they were and where we are today?
Richard S. Sokolov: Well, I think if you look at our occupancy numbers, we’ve done a good job of having the retailers maintain their footprint within our portfolio so they could be positioned to take advantage of a rebound in retail sales. So we experienced absent bankruptcy as David mentioned, I believe less contraction than perhaps other portfolios. Going forward as the sales have gotten more stable, we’re seeing less pressure on store closings and a larger open to buy. So I would hope that, which is why David indicated we hope that perhaps we’ll have a slight increase in our occupancy level in ’10 because our leasing activity will enable us to absorb some of that vacant space. We are doing business with a number of tenants across categories and I think it’s notable, although it’s only one store, it’s not insignificant that Microsoft decided the way to sell their new product is by reaching out to consumers and they opened at Mission Viejo and it’s doing very well. Our channel is still a very compelling one for retail distribution.
Jeffrey Donnelly - Wells Fargo Securities, LLC: I guess on that open to buy niche of the business then, I mean when you talk to retailers for activity in 2010 and 2011, I guess where is the focus? Is it on actual new unit growth, new stores coming in or are you seeing them taking this opportunity of increased vacancy to maybe reshuffle stores? And you might be the net beneficiary but how would you break down their activity? Is it possible to do that?
Richard S. Sokolov: Not in a quantifiable way. I can tell you that anecdotally what we’re experiencing now are people coming in and saying we want to open new stores and there are a number of new concepts such as PS by Aero and Crazy 8 by Gymboree. Collective brands is expanding Sperry and Stride Rite. Those are relatively new concepts that are growing. Forever 21 is growing. H&M is growing, Encore is growing and those are all newer concepts so it’s not a reshuffling of space, it’s a total growth profile.
David E. Simon: Jeff, let me just say this. You know, look, ‘9 was a challenging year in the retail real estate world. ’10 is going to be a challenging year, too. You know part of what we’ll suffer for in ’10 is the deals we did in ‘9 that when we did them, they were obviously the retailer was feeling a lot worse about things than they are today. So look, our numbers reflect that in terms of what we think the world will produce in ’10 but it is a challenge. Retailers are very focused on expenses and rents. They’re still closing stores. We’re doing the best that we can do, but it’s still a challenging environment. And I don’t want to obviously discuss the obvious too much, but it’s a better but still a challenged environment for ’10. And we’re still working hard to produce the results that we hope to be able to produce the results in ’10 on that we’re budgeted to.
Jeffrey Donnelly - Wells Fargo Securities, LLC: I’m curious on Prime, can you share with us where sales per square foot and occupancy cost ratios are just for that portfolio?
David E. Simon: When the deal closes, we’ll share all that, but until then there’s confidentiality provisions associated with that.
Jeffrey Donnelly - Wells Fargo Securities, LLC: When you think about your goals for that portfolio and where you think operating metrics can move to over time, is this a portfolio that you think you can close the gap with Chelsea say on sales productivity at least in absolute terms? And I guess over time, does their NOI growth match Chelsea’s?
David E. Simon: I can say this. Their sales productivity are less than Chelsea, you know, less than our existing portfolio is today. A part of what we see as an opportunity is to re-tenant and again the Prime has done an excellent job, but part of what we see the vision for these Centers is to improve and re-tenant the mix which will hopefully drive higher sales productivity. They aren’t producing the results that we have today. The Outlet business obviously is a really high quality portfolio, but we think we can improve the Prime portfolio by re-tenanting and bringing in a little higher end mix.
Jeffrey Donnelly - Wells Fargo Securities, LLC: Just one last question and it’s for you, David, I guess. There was a lot of speculation I think in the last quarter that Simon had made an investment in General Growth securities, debt equity, etc., I guess to remove some of that. Are you of a [tell] us one interest, just as [interior] interest that you guys hold in GDP today?
David E. Simon: I really am not going to comment on that at this point.
Operator: Your next question comes from Michael Mueller - J.P. Morgan.
Michael Mueller - J.P. Morgan: Rick, when you were talking about the increased calls coming in from retailers and the open to buys, etc., and can you talk a little bit more about specifically where it’s coming from? Is more the interest, do you see a dramatic difference when you look at the Outlet segment versus we’ve heard a lot about box retail leasing up and junior anchors, a lot of traction there from the strips. They are compared to the traditional regional Mall tenants. Is one tenant dramatically leading that pack in those conversations?
Richard S. Sokolov: It is really across the portfolios. There are a number of tenants that have announced new Outlet initiatives such as New York & Co., Ann Taylor Loft, Bloomingdale’s Outlet, and that is providing some benefit for the Outlet portfolio and The Mills portfolio. I mentioned earlier some of the concepts that are driving the demand on the Mall side. We have been doing, as David mentioned, a good job of redeploying our box space that was available with anchors such as Best Buy, Bed Bath, Neiman Marcus, Last Call, Forever 21, H&M are all filling boxes that we had available in the various portfolios. And we should not underestimate the importance of no new development. As these boxes want to grow, we’ve got development at the lowest levels in 20 years, that is going to benefit the existing portfolios, increasing our market share and taking advantage of that open to buy.
Michael Mueller - J.P. Morgan: David, I guess when Ralph’s was purchased back in 2004, my recollection is part of the reason why you folks didn’t get it is you were angling just more for the retail assets and didn’t necessarily want to own the land business. I mean if we’re thinking about the business day, you’re a bigger company, I mean how do you view those non-core assets? I guess specifically looking at potentials with something with General Growth, particularly the land business.
David E. Simon: Well, I don’t like the land business but that has nothing to do with Ralph’s or General Growth. That’s not our business. You know our business is retail real estate, so we did venture into one land development deal. It wasn’t. I blame Steve on that, but I’m kidding, I was part of the decision. It’s just a business we don’t like. It’s not our core competency. But that’s not a Ralph’s or general growth statement. That’s a statement for all. And I think its best exhibited as I said, I mean think about the size of our company. We have 12 parcels for $90 million on the books. So that gives you an idea if we have the land it’s to develop it and it’s not to hold it. So with that said, I think when look, the Ralph’s, it’s very interesting to go back in ’04 and I think it’s very important because obviously there’s lots of speculation about us and General Growth. We had the opportunity in ’04, as I go back and examine that time period, you know we were right at the outset of our Chelsea deal and at the same time Ralph’s came up this was previous to the public obviously knowing, but I knew. We had every opportunity to buy Ralph’s and it would have been frankly at that time probably hard to do both, but we certainly could have not bought the Outlet business, Chelsea, and bought Ralph’s. The fact of the matter is we think Ralph’s was over priced, there was no way to make the numbers work, we probably could have made them work better than General Growth because we would have refinanced it immediately. But we liked the value that Chelsea provided that obviously we continue to reap the rewards for that. And listen, it’s vivid to me in ’04. I had a dinner with Tony Deering. You know I had been calling on Tony for, he probably got sick of me calling on him. And he finally told me he was ready. I just couldn’t believe the price he was ready at and thankfully we went in another direction. That won’t be any different for any other deal that we look at.
Operator: Your next question comes from Richard Moore - RBC Capital Markets.
Richard Moore - RBC Capital Markets: Steve, if you did do a mortgage today, what kind of loan devalue on a regional mall do you think you’d be looking at?
Stephen E. Sterrett: Oh, you know, Rich, I would tell you the lenders and kind of the secured community is thinking about it less in terms of LTV and more in terms of debt yield. And you know on a really good quality asset, you can be down in the 12 to maybe 13% debt yield.
Richard Moore - RBC Capital Markets: I’m curious on the European stuff, you guys did the sale and you still have the development venture. Why do that, I guess? And is that a distraction to [inaudible] those few assets like that?
David E. Simon: Well the answer is we’re not obligated so we have an option. And there were a couple there. Frankly it was a distraction running the company. I don’t mean that negatively. The people that run that business have done a terrific job and they created a lot of value. But it was a distraction that we were running it. In this case, we have an option to participate. If there are approvals there, we’ll get to underwrite it. If we think there’s value, we’re in. If we don’t, we’re out. So there’s a lot less maintenance and oversight that we need to provide. And if their rights are achieved there, then there’ll be opportunity going forward without having to oversee it and worry about the day-to-day business. It’s kind of having our cake and eating it, too, I think. And we would expect that team with Unibail could get these over the finish line and there’ll be some future value there for us.
Richard Moore - RBC Capital Markets: David, on General Growth, are you in active negotiations with those guys while they wander through this bankruptcy proceeding?
David E. Simon: No.
Operator: Your next question comes from Quentin Velleley – Citigroup.
Quentin Velleley – Citigroup: Just a quick one on guidance. I’m wondering if you can disclose what the net impact in 2010 guidance either of the two main transactions you’ve done being the Ivanhoe [style] which I assume might be dilutive to earnings depending on what you do with the proceeds? And obviously the Prime acquisition which would have been accretive?
David E. Simon: Yes, I think you’re right on both accounts. We told the market on Prime that it will be accretive to earnings. If you just pay down debt that’s costing us nothing or putting it on our balance sheet, regardless of the cap rate, it will be dilutive, Simon Ivanhoe for the short period of time. Until both close we are not going to give you individual numbers. But when they do, we’re happy to do that. But for the time being, it’s in our numbers and you are right, though. One is accretive, that being the Prime deal, and the other one is dilutive for the short run and that would be the sale.
Quentin Velleley – Citigroup: And also with guidance, you’ve seen the expense recovery right increase over time. I think it’s almost 109% at the moment. Now I assume that’s because of fixed [came] and operating expense reductions. With your guidance are you assuming a similar level of recovery right? Or do you expect that to trail off over the next few years?
Stephen E. Sterrett: Let me say this and this goes back to kind of how David and Rick have run the business over the last couple of years. We were very early to recognize the downturn and we’re pretty aggressive in how we reduced operating expenses while at the same time not sacrificing the quality of how we managed the assets. I think most of that cost savings we feel like we’ve wrung out of the business so what you’re going to see is a relatively flat cost environment for 2010. Now we do get the benefit of the uptick in fixed [cam] because most of them have annual increases. But any improvement would be pretty modest.
David E. Simon: Yes, I would only say that there’s another, God forbid we get into another real economic tailspin. There’s probably another lever of operating expenses we could get to, but we certainly don’t want to do that. And I think Steve’s assumption is appropriate in that we think the general economic world out there though not certainly robust is stabilized. And with that, we think our operating expense savings is stabilized as well.
Quentin Velleley – Citigroup: I noticed that in the fourth quarter and it happened last year as well but to a different extent, your operating expenses go down quite a bit but your repairs and maintenance go up. Is there something seasonal there or was there something that happened in the fourth quarter that explains that?
Richard S. Sokolov: The repairs and maintenance is pretty simple. We actually don’t do much repair and maintenance work in the fourth quarter, but we do most of it during the warmer weather months leading up to the fourth quarter, so what you’re seeing is just those expenses flow through because we’re capturing all the costs of all the work having been done in, say, July to October type of timeframe. Your other question?
Quentin Velleley – Citigroup: Operating expenses in the fourth quarter drop off as well while repairs go up, operating expenses go down.
Richard S. Sokolov: There’s nothing remarkable that I can think of off the top of my head about the operating expenses. The repair and maintenance clearly has some seasonality to it because you don’t do as much work in the cold winter months. You’re obviously not doing parking lots and roofs and things like that in the first quarter because of the weather. But nothing that strikes me in the operating sense. I’ll take another look.
David E. Simon: It may have been we had less snow. I mean you get snow items and things like that.
Richard S. Sokolov: There are some seasonality items but nothing of significance.
David E. Simon: We’ll follow up if there’s something extraordinary there.
Operator: Your next question comes from [David Harris] – Individual Investor
[David Harris] – Individual Investor: Yes. Thanks for taking my call. Good morning everybody. David, if we go back a couple of years, one of the reasons you gave for going global, and this was sort of a long term underpinning, was the wide gap between retail square footage per capita in the U.S. and the rest of the world. Now that’s not changed in the last few years so I’m just wondering do you just not put so much weight on looking at a metric like that in terms of thinking where you want to be over the next five years?
David E. Simon: No, I think it’s important. I think the fact is, what I think you’re looking at is selling, you have to separate that from what we’re selling. And at the end of the day, we’re selling Poland which, you know, Poland has not the restrictions in the right to build that other places do. And you’ve got to look at where the real estate comes from that. So it’s certainly an advantage but what we are doing here is not a change in thinking along those lines. 
[David Harris] – Individual Investor: And it seems to me that while I can understand say currency or a great offer can motivate your short term sort of thinking, it’s a great challenge for a business your size in terms of the way you want to position yourself over the next four or five years is having the capacity to deploy capital when the environment turns more favorable. And that in particular and probably business means having the personnel on the ground that can actually put the capital to work effectively.
David E. Simon: Yes, and I think that’s where if you understood what we own there, though a good platform, is not going to take us to that next level that you’re talking about. 
[David Harris] – Individual Investor: Okay.
David E. Simon: This was a good development team success in Poland. You know Poland is a nice country but it’s still Poland, okay? 
[David Harris] – Individual Investor: That’s all right. I’m not Polish.
David E. Simon: You know Warsaw’s a great city, but it’s still Warsaw. And the team there is not a team that can, though good and talented in what they do, is not a team that’s going to take us, create the your clean platform that we have here anywhere else.
[David Harris] – Individual Investor: And then your thinking on China, that seems to be rather more sort of strategic in thinking. It seemed to me that you were implying that you think the great consumer society is going to take a little longer to come around and you [inaudible]?
David E. Simon: Well, look, we always knew going in it was a significant risk. We’re one of the few, I’m personally now, others aren’t, I mean I’m a little more bearish on that consumer than a lot of people. Every time I talk to a retailer he thinks I’m crazy. But what we built and where we built it, even though we were well executed and well leased, the moderate consumer, i.e., let’s say the suburban mall here as an analogy, they do not spend the way you need to, to support the rental income stream that you need to, to support the yield that you need to support. And the big reason is because in my opinion there’s no social safety net there. You don’t have employee benefits. You don’t have Medicare or you don’t have retirement benefits. And the consumer there in that range is very, very conservative. Now when you go to the fancy cities with the [xpads] and the well compensated Chinese, you do get good retail production. In addition, I mean there’s so much that was built there in so short a time, that it’s hard to know what’s really great. I mean aside from the obvious places in Beijing and Shanghai and some of the other major cities. It’s not obvious what’s really great real estate and if you’re going to do it, you’ve got to be there for a long time and you’ve got to sort it out. And so much is being built that I don’t know if I’d call it a bubble, but there’s going to be winners and losers and you know what? We were okay, we lost a little, we’re ready to. Again, in ’09 what we learned, David, is its good for us to be really a little bit more focused. So China was a distraction. Let’s move it aside. It wasn’t obvious. The platform that we had in Europe, we didn’t see a way to get really bigger, really more meaningful, so that became a distraction. We got a really good offer. We made a lot of money. We believe euros’ headed down, pretty much right on that. And these are decisions that we make all the time. We’d rather be bigger and bolder elsewhere. Being little and insignificant is a distraction.
Operator: Your next question comes from Jim Sullivan - Green Street Advisors.
Jim Sullivan - Green Street Advisors: David, your company already owns about 20% of the malls in the U.S. Your comments on the call suggested that your capital deployment over the next couple of years is going to be focused on U.S. retail acquisitions and presumably mall acquisitions will be a primary focus for you. And I’m curious, as you think about playing an additional role as consolidator of U.S. mall business, where if anywhere antitrust considerations come into play? And I’m particularly interested as I speculate on a Simon GDP combination which would result in a company that would own 50% of the higher quality malls in the country and really result in a monopoly position in a couple of markets. Can you provide your comments on how antitrust may or may not impede your ability to play that consolidator role?
David E. Simon: Well, look, I certainly can’t comment on behalf of the FTC. I would suggest that some of your statements I disagree with in terms of market share and monopoly. We certainly would argue strenuously that neither of those occur with or without GDP or anybody else. Retail real estate is very diverse. There’s a lot of it out here. Let’s face it, the average consumer has 22 per square foot per capita and the retailers have lots of options. So I guess, Jim, I really can’t comment on FTC or anybody else for that matter in terms of antitrust implications. But I don’t agree with your statement on monopoly or market share. And I think, as you know, there’s a lot of retail real estate out there and it’s very diverse. And retailers go in and out of product all the time. And I don’t think you can look at one particular segment or one particular market. You know we have a great challenge in physical real estate with the Internet. You know we are giving the advantage to Internet retailers because they don’t collect sales tax from the consumer, which is a great disservice to the local Mom and Pops that are out there paying employee taxes and sales taxes and trying to make ends meet. That’s a tremendous travesty that exists here that we’ve got as an industry focus on. Beyond that, there’s really not much I can add to your question.
Operator: Your next question comes from Nathan Isbee - Stifel Nicolaus & Company Inc.
Nathan Isbee - Stifel Nicolaus & Company Inc.: As you look at the 2010 expiring rents, it’s 37 to 74, which is about 70% below ’09. Would you say that that’s a function that these rents are just farther below market than you had in ’09 or is there a qualitative difference in the space that’s expiring?
David E. Simon: No. Our portfolio is so diverse that there’s not a qualitative difference. It’s just that’s what happens to be expiring. So it’s pretty consistent year in and year out in terms of the quality.
Richard S. Sokolov: That’s 6 million square feet of space so it’s a very broad sampling. So it wouldn’t be a qualitative slice that would impact that.
Nathan Isbee - Stifel Nicolaus & Company Inc.: So based on the $43 bucks that you’re signing in the second part of ’09 it’s pretty safe to say you would expect a significant ramp back up to where your historical rent spreads are?
David E. Simon: Well, look, I don’t think we can get to historical numbers just yet until there’s a stronger economy and stronger demand from retailers. But I think it does reinforce as I said our premise that we still think our leases are under market. That’s why we’ve been able to generate higher rents. It’s just that the productivity that we’re able to generate would indicate we still have room there. But it’s obviously the ability to generate higher rents is impacted by the current state of the economy. So a good insurance policy to have and we think we’ll be positive. That’s what our budget is. But I don’t think we’re in an environment where that we go back to quite the historical numbers we’ve produced over the years.
Nathan Isbee - Stifel Nicolaus & Company Inc.: You had spoken on the last call that you had made a calculated decision with a few retailers to push off signing leases, taking a wait and see attitude for the holiday season. Just with the benefit of hindsight here, was the holiday season strong enough to get you those higher rents?
Richard S. Sokolov: Yes. Absolutely. We are I think going to benefit as we go into ’10 and negotiations. As we commented earlier not just sales strengths but more importantly cash flow and profitability have been substantially better for these retailers. And when you read all the retail analysts, they are now saying to the retailers how are you going to grow your top line? 2009 was are you going to maintain? 2010 is hopefully growth but as David said earlier there’s still a difficult environment out there but it is clearly better now than it was.
David E. Simon: And I’d say, Nate, we certainly didn’t get hurt you know by that decision. Right now the bet’s still out there. We’ve still get to finish ’10 deals but we’re certainly in the game.
Nathan Isbee - Stifel Nicolaus & Company Inc.: Where do you stand on ‘010 expirations?
Richard S. Sokolov: We are about 63% through our ’10 and that’s about where we were this time last year.
Operator: This concludes the question-and-answer session for today’s program. I would now like to turn the presentation over to Mr. David Simon for any closing remarks.
David E. Simon: All right. Thanks everybody for your time and questions and have a great Super Bowl weekend. And obviously we’re expecting you to root for the Colts. Take care.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect and have a great day.